Operator: Good afternoon, and welcome to the Ross Stores' Fourth Quarter and Fiscal Year 2018 Earnings Release Conference Call. The call will begin with prepared comments by management followed by a question-and-answer session. [Operator Instructions] 
 Before we get started, on behalf of Ross Stores, I'd like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts, new store openings and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk Factors are included in today's press release and the company's fiscal 2017 Form 10-K and fiscal 2018 Form 10-Qs and 8-Ks on file with the SEC. 
 Now I'd like to turn the call over to Barbara Rentler, Chief Executive Officer. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael O'Sullivan, President and Chief Operating Officer; Gary Cribb, Group Executive Vice President, Stores and Loss Prevention; John Call, Executive Vice President, Finance and Legal; Michael Hartshorn, Executive Vice President and Chief Financial Officer; and Connie Kao, Vice President, Investor Relations. 
 We'll begin our call today with a review of our fourth quarter and 2018 performance followed by our outlook for 2019. Afterwards, we'll be happy to respond to any questions you may have. 
 Let me first start the discussion of today's financial results by noting that our 2018 fourth quarter and fiscal year were 13- and 52-week periods, respectively, while our 2017 fourth quarter and fiscal year were 14- and 53-week period. 
 The 53rd week added approximately $219 million in sales and $0.10 in earnings per share to 2017's fourth quarter and fiscal year. Further, the extra week added about 70 and 20 basis points, respectively, to operating margin in last year's fourth quarter and full year. 
 Now let's turn to today's results. As noted in today's press release, sales and earnings for both the fourth quarter and fiscal year outperformed our expectation. As we also mentioned, we achieved these results despite our own challenging multiyear comparisons and weakness in our Ladies apparel business during the holiday season. Earnings per share for the 13 weeks ended February 2, 2019, were $1.20 versus $1.19 in the 14 weeks ended February 3, 2018. Net earnings for the 2018 fourth quarter were $442 million versus $451 million in the prior year. 
 For the 52 weeks ended February 2, 2019, earnings per share grew to $4.26 compared to $3.55 in the 53 weeks ended February 3, 2018. Fiscal 2018 net earnings were $1.6 billion, up from $1 point billion in fiscal 2017. 
 Now let's turn to our recent sales results. For the 13 weeks ended February 2, 2019, total sales were $4.1 billion. Comparable store sales for the period rose 4% over a strong 5% gain in last year's fourth quarter. For the 52 weeks ended February 2, 2019, sales increased 6% to $15 billion with comparable store sales up 4% on top of 4% gains in each of the 3 prior years. 
 For the fourth quarter, men's was the best-performing area and as I said, Ladies underperformed. Geographically, the Southeast and the Midwest were the strongest regions. 
 dd’s DISCOUNTS customers continued to respond positively to its merchandise assortments leading to another quarter and year of solid gains in both sales and operating profit. 
 As we ended 2018, total consolidated inventories were up 7% over the prior year with packaway levels at 46% of the total compared to 49% last year. Average in-store inventories were down slightly versus last year. As noted in today's release, our board authorized a new program to repurchase $2.55 billion of common stock over the next 2 fiscal years. 
 Our recent stock prices with new repurchase program represents about 8% of the company's total market share and a 31% increase over the prior 2-year of $1.95 billion authorization that was completed in January 2019. 
 The board also approved an increase in the quarterly cash dividend to $0.255 per share, up 13% over the prior year. The increases to our shareholder payouts for 2019 reflects the current strength of our balance sheet and our ongoing ability to generate significant amounts of cash as to funding and other capital -- funding growth and other capital needs of the business. We have repurchased stock as planned every year since 1993 and raised our cash dividend annually since its inception in 1994. This consistent record also reflects our continuing commitment to enhance shareholder value and returns. 
 Now Michael Hartshorn will provide further color on our 2018 results and details on our 2019 full year and first quarter guidance. 
Michael Hartshorn: Thank you, Barbara. As Barbara mentioned earlier, earnings per share for the fourth quarter and fiscal 2018 year were $1.20 and $4.26, respectively. These results compared to fourth quarter 2017 earnings per share of $1.19 and $3.55 for the year. Our earnings per share results for both the 2018 fourth quarter and fiscal year reflect a onetime noncash gain of $0.07 related to the favorable resolution of a tax matter as well as a $0.19 benefit from tax reform legislation in the fourth quarter and $0.70 for the year. 
 In addition to the $0.10 earnings per share benefit from last year's 53rd week, our 2017 fourth quarter and fiscal year EPS results also included a $0.21 benefit from the adoption of tax reform legislation consisting of a onetime $0.14 gain due to a revaluation of deferred taxes and $0.07 from a lower tax rate. 
 Now I'll discuss further details on our fourth quarter results. Our 4% comparable store sales gain in the quarter was driven by a combination of higher traffic and an increase in the size of the average basket. So better-than-expected operating margin of 13.2% for the period was down from last year. 
 The 135 basis points decline was primarily due to the approximate 70 basis points benefit in the 2017 fourth quarter from the 53rd week and as expected, higher freight and wage cost. 
 For the full year, operating margin declined 85 basis points to 13.6%, due in part to last year's 20 basis points benefit from the 53rd week. 
 Cost of goods sold for the year increased 55 basis points, consisting of 40 basis points of higher freight costs, a 15 basis point increase in distribution expenses and a 10 and 5 basis point rise in buying and occupancy cost, respectively. These expense pressures were partially offset by a 15 basis point increase in merchandise gross margin. 
 SG&A for the year rose 30 basis points, driven by higher wages. During the quarter, we repurchased 3.1 million shares of common stock for a total purchase price at $268 million. For the full year, we repurchased 12.5 million shares for an aggregate price of $1.075 billion. 
 Now let's discuss our outlook for 2019. For the 52 weeks ending February 1, 2020, we are forecasting earnings per share to be $4.30 to $4.50, up from $4.26 for fiscal 2018. Our guidance reflects the adoption of the new lease accounting standard, which is not expected to have a significant impact to our earnings results. The operating statement assumptions for fiscal 2019 include the following: Total sales are projected to grow 5% to 6% for the 52 weeks ending February 1, 2020 compared to the 52 weeks ending February 2, 2019. Comparable store sales are expected to increase 1% to 2% on top of multiple years of strong gains. We plan to add about 100 new stores this year consisting of approximately 75 Ross and 25 dd’s DISCOUNTS locations. As usual, these numbers do not reflect our plans to close or relocate about 10 older stores. We project that operating margin for 2019 will be in the range of 13.2% to 13.4% compared to 13.6% in 2018. The forecasted decline reflects our plans for relatively flat gross margin and some deleveraging of expenses if same-store sales increase 1% to 2%. 
 Net interest income is estimated to be $17.6 million. Our tax rate is projected to be approximately 24%. We expect average diluted shares outstanding to be about $362 million. Capital expenditures in 2019 are projected to be approximately $600 million, which includes the initial investment for our next distribution center. And depreciation and amortization expense inclusive of stock-based amortization is forecast to be about $450 million. 
 Let's move now to our first quarter guidance. Given the recent underperformance in Ladies apparel, a business that becomes more important in the first quarter, we are forecasting comparable store sales to be flat to up 2%. Earnings per share are projected to be $1.05 to $1.11 versus $1.11 for the first quarter ended May 5, 2018. Other assumptions that support our first quarter guidance include the following: Total sales are planned to increase 3% to 6%. We expect to open 22 new Ross and 6 dd’s DISCOUNTS locations during the quarter. 
 First quarter operating margin is projected to be 13.4% to 13.8% versus last year's 15.1%. This forecasted decline includes expectations for a negative impact from the timing of packaway-related expenses that benefited last year's first quarter and ongoing headwinds from higher freight and wage cost in the first half of 2019.
 Net interest income for the quarter is estimated to be about $4.9 million. Our tax rate is expected to be approximately 23%. And finally, weighted average diluted shares outstanding are projected to be around $367 million. 
 Now I'll turn the call back to Barbara for closing comments. 
Barbara Rentler: Thank you, Michael. Again, we delivered better-than-expected sales and earnings gains for both the fourth quarter and fiscal year. Looking ahead, while we hope to do better, we continue to take a prudent approach to forecasting our business for 2019. Although we remain favorably positioned as an off-price retailer, we are facing our own difficult multiyear comparisons, a very competitive retail landscape in an uncertain macroeconomic and political environment. 
 Longer-term though, we remain confident in our ability to achieve ongoing profitable market share gains by consistently offering customers outstanding values throughout our store. As long as we remain focused on the careful execution of our proven off-price strategies, we believe we can continue to deliver solid growth in both sales and earnings. 
 Before we begin the question-and-answer session, I'd like to thank John Call for his leadership and the numerous contributions he has made over more than 2 decades at Ross, including previously serving as CFO for 16 years. John begins his planned transition to an advisory role at the end of this month. 
 At this point, we'd like to open up the call and respond to any questions you may have. 
Operator: [Operator Instructions] Your first question comes from Matthew Boss from JPMorgan. 
Matthew Boss: Congrats on a nice quarter. So, I guess, maybe my question is just on Ladies apparel, maybe on the weakness. Could you just elaborate on the drivers maybe how best to think about the timeframe to work through any excess inventory? And larger picture, what drove that and the time frame to correct it? 
Barbara Rentler: Okay. First of all, the Ladies apparel business got off course, because we didn't have the right balance of our assortments in certain categories within the total apparel business. So as a result, we left some money on the table in seasonal areas of the business. In terms of excess inventories or residual inventory left in stores, we don't have any excess issues that we need to deal with or go through. In terms of correcting the merchandise miscues, what I would say is, obviously, we'll course correct as quickly as possible, but we expect gradual improvement as we rebalance the assortment throughout the year. 
Matthew Boss: Great. And then just a follow-up on the expense front. I guess, what's the best way to think about the threshold needed from a comp perspective to leverage SG&A this year? And is there any difference in the front versus the back half of the year? 
Michael Hartshorn: Sure, Matthew. On expenses, SG&A this year the leverage point is about 3%, which is in line with our historical averages pre-2018. We would expect more deleverage in the front half. As a reminder, we increased our national minimum wage in the second quarter of last year. So we have to round that in the first and a little bit of the second quarter. In addition, in overall operating margin freight cost escalated as we moved through the year last year. So those will be more of a drag in the first half versus the second half. 
Operator: Your next question comes from Lorraine Hutchinson from Bank of America. 
Lorraine Maikis: Could you quantify the freight headwinds that you're seeing? And then, also maybe comment on some of the contracts that are coming this year? Are you seeing some relief in the rates versus this time last year? 
Michael Hartshorn: Sure, Lorraine. In terms of the impact of freight. So as we expected, first on the fourth quarter. So the fourth quarter there was 135 basis point drag. 70 basis points of the decline was due to the 53rd week. The remaining 65 basis points was a combination of higher freight and wage cost. For the fiscal year, freights we had a 40 basis point drag for the full year. As we move into 2018, the drag was, obviously, higher in the third and fourth quarter. So we'd expect a continued drag in the first and second quarter and then be somewhat neutral later in the year. Our contracts, if you compare against the spot rates, actually in many cases are lower than the spot rates. So as we go through contract renewal this year, we would expect rates there somewhat normalize. 
Operator: Your next question comes from Simeon Siegel from Nomura Instinet. 
Unknown Analyst: [ Steven Ferris ] on for Simeon. I had a question on the flat gross margin implications. You guys touched on freight, but maybe how should we think about distribution costs, occupancy and maybe how our merchant margins will shake out for the year? 
Michael Hartshorn: Sure. In my commentary, the gross margin was intended to be merchant margin so we expect merchant margin to be relatively flat for the year and we didn't provide additional guidance on DC costs. Like the rest of the business, we would expect some wage headwinds in the DCs in the first half of the year more than the second half. 
Operator: Your next question comes from Paul Trussell from Deutsche Bank. 
Paul Trussell: Just on Ladies apparel. Is the thought process [Technical Difficulty] comp in fourth quarter by a -- negatively by about a point? And is that the thought process as well for the first quarter? 
Barbara Rentler: Paul, you cut out -- the phone cut out. Could you just repeat the question? 
Paul Trussell: Yes. I just wanted to follow up on Ladies apparel. Just to maybe get a better assessment around what you thought the impact to the comp was in the fourth quarter? And I know that, that is a little bit bigger business in 1Q. Just how you're thinking about that? And any other puts and takes that you can provide around your first quarter guidance? 
Barbara Rentler: In terms of being more specific on Ladies apparel for the first quarter guidance, for competitive reasons, I wouldn't be more specific other than to say that it's built into our guidance for Ladies performance. 
Paul Trussell: Understood. And what is the impact of the packaway in the first quarter? And should we think that, that -- is that going to continue at all into the second quarter? 
Michael Hartshorn: Sure, Paul. In Q1, we're lapping the packaway-related timing -- as packaway levels rose during the quarter last year, it was worth about 45 basis points last year. Packaway levels are tough to predict, so our guidance at this point assumes that the benefit doesn't recur, and we wouldn't talk about the impact beyond the first quarter. We'll give you an update in our May conference call and first quarter results. 
Operator: Your next question comes from Ike Boruchow from Wells Fargo. 
Irwin Boruchow: So I'm sorry to jump on the Ladies apparel train. But I guess, Barbara or Michael, I think the last time you had an issue in the category I think was early 2016. I know you guys can't -- don't want to be too specific. But I'm just kind of curious, the similarities that are happening today versus back then? And then, again, when I look back then, it didn't take you long to kind of course correct, I think, you were back in a 4% comp range 3 months later. Is there anything different this time around? I guess, I'm just trying to compare today and what happened several years ago? 
Barbara Rentler: Sure. What I would tell you is that the issues really aren't related. What went on in 2016 was really wrong product coloration seasonality. What we're talking about here is that our assortments were not balanced in certain categories. And so I think these -- from a merchant perspective, they're 2 completely unrelated issues. In terms of correcting the issue, obviously, we've been trying to correct it as quickly as possible, but we're going to expect gradual improvement as the months go on. 
Operator: Your next question comes from Kimberly Greenberger from Morgan Stanley. 
Kimberly Greenberger: Oh, sorry, I was on mute. Let me make sure I congratulate John Call on a very long and distinguished career, and I wish him well in retirement. Barbara, I wanted to just ask quickly on the merchandising issue in women's. It sounds like a balance issue. Is it the case also that there was -- that the merchants' bought the wrong goods? I'm just trying to figure out if there is liable inventory here heading into Q1? Or is it -- it's simply the case that you thought you could have done more business in Ladies in the fourth quarter and maybe potentially in the first quarter if you had, for example, either more winter seasonal goods or just a better balance to the assortment? And then separately, you mentioned the Midwest and Southeast as the best-performing regions. I was wondering, if you're seeing any sort of benefit in your stores from competitor store closings? And if you've noticed, for example, Bon-Ton -- Bon-Ton's presence in the Midwest? Is there any sort of benefit that you're seeing in those stores that are co-located? 
Michael Hartshorn: Kimberly, I'll start with regional performance. As we mentioned, Southeast and the Midwest were the strongest. The Midwest has been the strongest for some time now since we entered the market in 2011. So no change -- I'd say no significant change in trend over the year. Yes, your second question was on Ladies? 
Barbara Rentler: And on Ladies, to -- trying to put this in a nutshell [indiscernible]. The imbalance to the assortment is by -- is in certain category. And then your question, Kimberly, is the game within the game of the assortment within the assortment. Yes, that varies by different business. What we did feel is that we did leave seasonal opportunity on the table because of our imbalance, which would have driven more Q4 business had we been in better shape in those businesses. As we move into Q1, we start obviously transitioning into different products. However, that does take time to change up that assortment. That's not going to be a 1 month, 2 months switch. So it will gradually take time. The other thing is in turn to get the balance -- to balance the way we want to be. The other thing in terms of having any liable inventory issues or bad packaway or anything along those lines, we don't have that. We absolutely cleaned that up, and so we need to take the time to ship the assortment to get it back to where we need it to be. 
Operator: Your next question comes from John Morris from D.A. Davidson. 
John Morris: My congratulations on a great year as well. Weather impact, I realized we did talk about the regional strength. I'm just wondering if you step back and look at it what that filter of weather, whether or not weather had a particular impact on you either in Q4 or in as much as you talk about seasonal areas with women's? And then I got one quick follow-up. 
Michael Hartshorn: Sure. Weather was relatively neutral for us year-over-year. I ment -- I know we mentioned the Southeast and Midwest, but the strength was fairly broad-based. Some of our major markets Texas, California, were in line with the chain. Florida, also a large market for us, was slightly below the chain average. It was up against 2017, when it was our strongest performing region. 
Barbara Rentler: And I don't think the weather impact -- no, I don't think the weather impact is what hurt our business. 
John Morris: Got you. And then my follow-up really is about the DC. The timing and maybe highlight some of the potential benefits you'll be getting from that in terms of the impact? I mean, is that typical in terms of your speed and your ability to distribute? Talk a little bit more about the new DC? 
Michael Hartshorn: Sure. The new DC is strictly a capacity place for us as we grow the business. That said, it's their large distribution centers. It could be as large as 1,700,000 square feet. It'll take us a couple of years to get it in place. That said, we do plan to put automation investments that we think can help our productivity. 
Operator: Your next question comes from Daniel Hofkin from William Blair. 
Daniel Hofkin: Just wondering if you could throw out a little bit more of some of the category detail. I think you just give some additional regional detail aside from men's and Ladies apparel, maybe some things like home or other categories? If there's any additional color there that you can share? 
Barbara Rentler: Basically, home performs in line with the chain average. And that's on top of solid growth over the last several years and after that most of the other businesses performed in line with the chain. 
Daniel Hofkin: Okay. And then if I could just apologize one simply this is one of the last questions about the Ladies apparel. Would you expect this fix in terms of time, the amount of time required to be shorter than really 2016 per the earlier question or similar, later? 
Barbara Rentler: Versus 2016, I think these are 2 different types of issues. My expectation is that there'll be gradual improvements. I'm not putting a specific time frame to it. 
Operator: Your next question comes from Marni Shapiro from Retail Tracker. 
Marni Shapiro: Congratulations and John congratulations. Enjoy your retirement. You were the only Mike -- or Michael, who lasted this long there it seems. For a while, it was all Mike, Mike, Michael and Michael and then John. 
John Call: Hi, Marni. It made things easier, yes. 
Marni Shapiro: Exactly, we always remembered you. So -- and actually move away from women's for just a moment, and ask just a quick breakdown, you said average basket was up. I was curious if that was driven by AUR or UPT? And then, I guess, Barbara, can you talk a little bit about any opportunity you see out there with Payless going away, which has a nice shoe business. I mean, it's a family business, which your stores are family-driven. And also Kids R Us, I don't know how often your stores crossed with them. But did you see any benefit where those stores are gone again. I view them as a family business, and I view your stores as family stores as well. 
Barbara Rentler: Sure. As it pertains to Payless going away, obviously, that would -- you would think will represent a market share opportunity because it is a family business, and having large amount of stores. So it remains to be seen how much for shopping between the customers, but we would think that would be just a market share play. In terms of Kids are Us, when that went out -- Michael, do we have -- do we think we saw any impact on any of that from the Kids R Us stores on us? 
Michael O'Sullivan: Well, I think your question, Marni, this is Michael O'Sullivan, Marni. So I think, your question was broader in terms of as other retailers go out or close down stores, as Barbara mentioned, it can only help. That sales volume has to go somewhere. And you'd expect that the remaining resellers in those areas would pick up some of that volume. And in any given year, we think we benefited from that over the last few years as retailers have closed stores or going out of business altogether. But I wouldn't say it's been material to our results over that period. And as we look forward, same thing. We should continue to benefit, if we do our jobs right, but I don't think it'll be material to the overall business. 
Michael Hartshorn: Marni, and on the component of sales so the 4 comp was driven by, as we said in the comments, higher traffic and increasing the size of the average basket. The basket was driven entirely by UPT as AUR was flat for the quarter for us. 
Operator: Your next question comes from Paul Lejuez from Citi. 
Paul Lejuez: John, congrats and best of luck, sir. Question, maybe a little bit more color on dd’s operating margin versus Ross coming out of 2018. Any more data you can give to us in terms of the size of that business and the margin? Also I'm curious if the issues that you saw in the ladies business, you also saw that on the dd’s side as well. And Barbara, just high level on Ladies, is it that your buyers weren't buying the right stuff? Or was the right stuff not available? 
Michael O'Sullivan: Yes. So Paul, on dd’s, as Barbara said in her opening remarks, dd’s customers responded very well to our merchandise assortments in Q4 and the business posted solid gains in both sales and operating profit. And as you know, we don't disclose a lot of detail on dd’s and a couple of reasons for that. One is, it's really only around about 10% of our business, so 90% of our business is Ross Dress for Less. And then the other point I would make is, in general many of the same trends that we talk about on these calls apply to Ross and to dd’s. So we tend not to give a lot of detail on -- or a lot of additional detail on dd’s. 
Barbara Rentler: And as it pertains to Ladies, it wasn't an availability issue. I would say that we brought in some wrong product and I would say that the weighting of the categories of the businesses that we had more balanced where we'd like them to be balanced. So merchandise miscue. 
Operator: Your next question comes from Michael Binetti from Crédit Suisse. 
Michael Binetti: Michael, regarding the comment that merch margins were up about 15 basis points. Last year, I think you said you -- would you mind helping us click down into that a little bit to know what the tailwinds were there? Was it IMU lower markdown levels, anything with a mix? And then what rolls off in the guidance for merch margins to be about flat this year? 
Michael Hartshorn: Sure. So for the quarter, merchandise margin was up slightly on a 52-week basis. For the full year, merchandise margin was up 15 basis points. And again, that was up against the 25 basis point improvement in 2017 and then move forward into 2019, we're planning merchandise margin to be flattish. What drove it this year was a combination of better buying and lower markdowns. Anytime we can exceed our sales plan, we can chase the business with closeouts and also leverage markdown. 
Michael Binetti: And as you -- Michael, as you look across the margin outlook for the company and really to the off-price space, you had a couple of years of pretty persistent cost pressure from freight wages. You guys navigated as well as anybody. But when you sit here on these calls with us, we get a pretty stable outlook from you for the year ahead every year with how much volatility you've always expressed a lot of confidence and be able to navigate those things. But as you look out, do you think there has to be something more dramatic for the group to get down to try and restore to what you think are the right profitability levels given that we've seen just a few years now of wages and freight? 
Michael Hartshorn: Yes, I would say for us, 2018 was the exception. Obviously, at the beginning of the year, we knew we were getting a benefit from tax reform and we made an important investment in raising our national minimum wage to $11 an hour. So that was the exception. If we look ahead to 2019, we're guiding a [ 1% to 2% ]. And with that, we're guiding $4.30 to $4.50 compared to $4.26 last year, it's up [ 1 to 6 ]. As a reminder, last year that also included a onetime $0.07 benefit from a favorable resolution, the tax matter in the fourth quarter. Excluding that onetime item we're at EPS growth of [ $1 to $2 ] and EPS about [ 3 to 7 ], which is in line with how we've historically guided the year. 
Operator: Your next question comes from Laura Champine from Loop Capital. 
Laura Champine: Barbara, on the issues in women's, do you think that some of the missteps were just driven by becoming tougher to execute an off-price model with the kind of scale that you have now? Or is it your belief that this was just purely an execution mishap that is unlikely to recur? 
Barbara Rentler: I don't -- it's a misstep and I'd like to tell you that, it'd never occur again, but I don't think I'd be saying that. I don't think anyone could ever say that about any business. I don't think it's an off-price tougher to execute model. I don't think that's the issue. I think the issues were internal, self-inflicted. It's the assortment that we built out for the customer. I don't think it has anything to do with our price model, with future, what could go on. We really just need now to go in and correct that. And so, Obviously, Ladies is a very large business in off-price and everywhere else. And so it's important for us to do, but I don't think it's a model issue. I think it -- we had merchandise miscues that we need to correct and we will go and correct them during 2019. 
Operator: Our next question comes from Alexandra Walvis from Goldman Sachs. 
Alexandra Walvis: I had a question about the relocation strategy. So it looks like the plan is for relocations and somewhat consistent with the number that you've done in prior years. And it was noticed some competitors in the retail space, who have been ramping up the number of relocations they're doing as more opportunities come up as you see closures across the market. How are you looking at opportunities here? And could that be more opportunities to ramp up relocations as those opportunities present themselves? 
Michael O'Sullivan: Sure. So Alexandra, we open about 100 new stores a year and in any given year that includes a handful of relos. I don't expect that, that number will change significantly over the next couple of years. We always respond if there are additional opportunities here or there, but I don't think it will -- it is not going to change materially. 
Operator: Our last question comes from Bob Drbul from Guggenheim. 
Robert Drbul: Just following up on Alex's question. On the new stores, can you talk about new store productivity and performance? And as you continue to do like the 100 stores a year in terms of new real estate, any changes to the real estate availability or cost that you're seeing versus the past few years? 
Michael Hartshorn: In terms of new store productivity it's actually been fairly stable over the last 5 years since we've entered the Midwest. So on average, a new store is about 60% to 65% of an average comp store in the chain and then in the first few years, it ramps faster than the chain average. 
Michael O'Sullivan: And then on your question about availability, I would say going back over the last several years, we've been running at a sort of 90 to a 100 new store rate. And we plan those stores and we look for real estate several years out. And as we look at that pipeline, no major changes in availability. I think availability has been I think reasonably good over the last several years and we expect that to continue. 
Operator: That was our last question at this time. I'll now turn the call back over to Barbara Rentler for closing comments. 
Barbara Rentler: Thank you for joining us today for your interest in Ross Stores. Have a great day. 
Operator: This concludes today's conference call. You may now disconnect.